Operator: Good afternoon and welcome to WesBanco's Conference Call. My name is Danielle, and I will be your conference facilitator today. Today's call will cover WesBanco's discussion of results and operations for the third quarter ended September 30, 2015. Please be advised, all lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer period. This call is also being recorded. If you object to the recording, please disconnect at any time. Forward-looking statements in this report relating to WesBanco's plans, strategies, objectives, expectations, intentions and adequacy of resources, are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The information contained in this report should be read in conjunction with WesBanco's Form 10-K for the year ended December 31, 2014, as well as documents subsequently filed by WesBanco with the Securities and Exchange Commission, including WesBanco's Form 10-Q for the quarters ended March 31 and June 30, 2015 which are available at the SEC's website, www.sec.gov or WesBanco's website, www.wesbanco.com. Investors are cautioned that forward-looking statements, which are not historical facts, involve risks and uncertainties, including those detailed in WesBanco's most recent Annual Report on Form 10-K filed with the SEC under Risk Factors in Part I, Item 1A. Such statements are subject to important factors that could cause actual results to differ materially from those contemplated by such statements. WesBanco does not assume any duty to update forward-looking statements. WesBanco's third quarter 2015 earnings release was issued yesterday afternoon and is available at www.wesbanco.com. This call will include about 20 to 25 minutes of prepared commentary followed by a question and answer period which I will facilitate. An archived webcast of this call will be available on the company's website. WesBanco's participants in today's call will be Todd Clossin, President and Chief Executive Officer and Robert H. Young, Executive VP and Chief Financial Officer, and both will be available for questions following opening statements. Mr. Clossin, you may begin your conference.
Todd Clossin: Thank you, Danielle. Good afternoon, and thank you for participating in WesBanco's third quarter 2015 earnings call. We're pleased you've joined us this morning to hear about our operating results. I’ll be making some opening comments. Bob Young, our CFO will provide financial highlights and I will moderate the question-and-answer period. A press release detailing results of third quarter was issued last evening. A copy of the entire press release is available on our website. Our merger with ESB that was closed in February and converted in April of this year has gone very well. Expense saves were made ahead of pace and employee stimulation has been positive. Our new employees in the Western Pennsylvania area have combined with our existing lending team to now represent one of the most productive regions in our company. We never experienced a slowdown in growth during the merger process and we quickly added additional revenue generating staff to capitalize upon the benefits of our new found top 10 size in the market. We achieved fully diluted earnings per share of $0.58 for the third quarter of this year as compared to $0.56 for the second quarter of this year and $0.62 for the third quarter of last year. Our continued focus upon return investment once again drilled positive operating leverage for the quarter. These results allowed us to post a strong efficiency ratio of 57.6% for the quarter as compared to 58.5% posted during the same quarter of last year. One of the better efficiency ratios in the industry. Our loan growth is I have referenced on previous calls is best determined by averaging several quarters together as plan construction pay offs can move the numbers around significantly from quarter-to-quarter. We are pleased with our year-to-date loan production of 1.3 billion as compared to the 1.0 billion produced originated during the same period last year. These loan origination results represent a 30% increase in production over the first three quarters of this year. The third quarter was our strongest quarter of production of the year and September was our strongest month of production year. We experienced $77 million of planned commercial real estate pay-offs during the quarter as developers placed construction loans into the secondary market to take advantage of long term fixed rates ahead of an eventually rising interest rate environment. The net of this production and pay-off activity resulted in annualized organic loan growth of 5.3% since December 31 of 2014.While this mid-single digit loan growth rate is in line with our historic trends it does mask the underlying success of our loan diversification initiative. As mentioned last quarter, our loan diversification strategy and specifically our C&I and home equity initiatives continue to show nice results. Solid execution against our C&I loan growth initiative resulted in 30% of our period loan production coming from the C&I category. Credit quality trends continue to remain strong and we continue to address credit issues as they arise in the portfolio. Our non-performing loans as a percentage of total loans was 1.08% at September 30 compared to 1.24% at June 30 and 1.2% at March 31. We had a very productive quarter in the talent side, particularly with hiring of new C&I talent. During the quarter, we hired a senior lender from the Columbus Ohio market. We hired one for the Canton Ohio, and Canton Akron market combined and one for the Charleston, West Virginia market. We also hired a senior lender in Cincinnati area earlier this year and several strong C&I lenders across multiple markets. I have known the Columbus, Canton and Cincinnati senior lenders for a long time and feel we have made some significant moves with these hires. The three senior lenders hired this quarter came from large regional banks. We built the teams we wanted to build and we are now seeing the results we expected to see. We continue to face the same headwinds in the area of margin contraction as others but we are staying disciplined with our ROV based model pricing. Low rates may continue to be with us for a while so we are focused upon staying disciplined with our asset and liability pricing while remaining slightly asset sensitive. Bob will get into this area in more details shortly. Our loan production is running at record levels and we are changing the mix of our loan growth to rely more heavily upon a more stable C&I product category. Our investments continue to pay-off as was seen by the continued positive operating leverage and the strong upper mid50s efficiency ratio. We had solid momentum in our long deposit and fee generation businesses and we are demonstrating the organic growth needed to be successful in today’s environment. We continue to evaluate M&A opportunities in our footprint and in urban areas that are contagious to our existing markets. I'd now like to turn it over to Bob Young to review the numbers in more detail. Bob?
Robert Young: Thank you, Todd. For the third quarter net income exclusive of merger related expenses was $22.4 million or $0.58 per share versus $18.1 million or $0.62 last year. Year-to-date net income on the same basis was $64.9 million or $1.75 per share versus $53.5 million or 182 per share last year. Core operating earnings were up 23.1% for the quarter and 21.5% year-to-date. Merger related expenses for the nine months period on an after-tax basis was $7.2 million or $0.20 per share and less than $0.2 million for the quarter. Third quarter GAAP net income was $22.2 million or $0.58 per share while year-to-date it was $57.8 million or $1.55 per share. On a year-to-date basis core return average assets was 1.09% versus 1.15% last year and core return on tangible common equity was 14.2% compared to 15.97% last year similar to peer ratios. Pre-tax pre-provision return on average assets on a core basis was 1.69% year-to-date versus 1.76% last year. Turning to the balance sheet and net interest income now. Net interest income grew $12.0 million or 24.8% for the quarter and $32.1 million or 22.3% year-to-date with the acquisition. Organic loan growth and a reduced cost of funds percentage over the past year the primary reasons for the increase. The third quarter net interest margin decreased 22 basis points to 3.36% and it was down 18 basis points year-to-date to 3.44%. While the margin was influenced positively by purchase accounting accretion from the mark-to-market of financial assets and liabilities of 10 basis points for the quarter and 10 basis points also year-to-date, it was down overall due to a higher percentage of investments to total earning assets from the acquisition and lower market yields on the portfolio, as well as on loans. Market rates were down significantly between announcement of the deal and acquisition, which affected both mark-to-market yields as well as what we could achieve in the market upon reinvestment of proceeds from the sale of acquired securities. In addition to the mix shift in assets in a lower overall yield on investments of 41 basis points year-over-year, loan yields were also down by 15 basis points year-to-date as competition on new loans plus re-pricing of existing loans caused the decrease. Costs of funds somewhat assisted in limiting these decreases as they were only 42 basis points for the year-to-date versus 53 basis points last year, while cost of deposits was down to 32 basis points versus 43 basis points last year. Certificates of deposit do comprise a greater portion of deposits post acquisition, but they continue to re-price downward ending the quarter at just 62 basis points versus 93 basis points last year. Non-interest bearing checking accounts grew 24.6% year-over-year and approximately 12.1% on an organic basis. First nine months annualized deposit growth excluding both ESB and certificate of deposits was 7.9% led by strong non-interest and interest bearing demand growth. Portfolio loans increased 919 million or 22.8% over the last 12 months with 701 million of the growth from ESB and 218 million in organic growth. Organic loan growth was 7.1% from last September and 5.3% year-to-date annualized with approximately 30% of year-to-date growth in commercial and industrial loans. Strong total loan originations of $1.3 billion year-to-date were up over 30% from last year at the same time with all categories up double digits. Loan growth was driven by increase business activity in our markets, additional lending personnel in our three larger urban markets, focused sales calling efforts and internal referrals and continued improvement of loan origination processes and systems. In addition, we are achieving our business plan goals of increasing both C&I and home equity lending. With organic C&I loan growth of 6.3% since year end annualized and home equity lines of credit up 19.3% over the same period, this is primarily due to consumer marketing campaigns, branch and customers incentives and more competitive product offerings on the home equity side. Turning now to non-interest income. For the third quarter non-interest income was up 9.2% or $1.5 million from last year. Although the 2014 third quarter saw a realization of $1.2 million net loss on termination of an expensive repo borrowing and $600,000 of net security gains. Total fee income would have increased $1 million or 5% without those two line items in both years driven by higher electronic banking fees, deposit service charges, and securities brokerage fees, along with mortgage gain on sale income. Factors influencing the 4.8% nine month core, fee, and other income increased include the same items noted previously along with higher trustees. Non-interest expense. Total non-interest expense was 19.2% at third quarter or $7.5 million exclusive of $0.2 million in merger related expenses, reflecting the addition of ESB’s operating expenses and branch operations as compared to the prior year. For the nine-month period expenses net of merger related costs of $11 million were up 13.7% or $16.3 million reflecting almost eight months of acquired ESB expenses. Most line items in non-interest expense were influenced by the acquisition for both three and nine month periods with salaries and wages, employee benefits and occupancy related costs seeing the highest increases along with amortization of intangibles and FDIC insurance from the higher asset base. Other operating expenses were also up for the quarter and year-to-date due to higher customer fraud and other operations losses, electronic banking and certain deposit product base. The integration of the two banking organizations produced an improved co-efficiency ratio of 57.3% year-to-date from 59.3% last year indicative of the cost saving achieved to date. While our overall ESB costs saving plans have been primarily achieved ahead of schedule, we continue to add revenue producing positions to support our growth targets, as well as risk financing compliance management related position as we approach the Dodd-Frank $10 billion asset threshold. Turning now to credit quality. For the quarter net charge-offs of $3.8 million reflected a $1.2 million partial charge-off on a $2.7 million investor own commercial real estate credit previously reserved for. Year-to-date net charge-offs were $8.6 million or 24 basis points, as compared to last year $6.9 million for the same 24 basis points partially a result of net charge-offs from the ESB acquisition. The provision for credit losses for the quarter was $1.8 million as compared to last year's $1.5 million, while year-to-date it was $5.8 million compared to $4.5 million last year. Other credit quality metrics continue to improve with criticized in class five loans down to 1.65% of total loans from last September 2.17%. MPLs and MPAs well up in dollars between $4million and $6 million respectively from the acquisition year-over-year reflected a decrease in the ratios as MPLs total loans dropped from 122 to 108 and MPAs dropped from 86 basis points to 70 basis points. Both measures also dropped appreciably from the second quarter. Past due loan percentages were similar on a year-over-year basis. The allowance for loan losses to total portfolio loans was 84 basis points at 930 versus 1.12% last year, as the pre-existing allowance from ESB was not transferred under acquisition accounting rules. However, if you acquire ESB loans, recorded a fair value with an appropriate credit market the date of acquisition were excluded from the loan totals, the allowance would represent 98 basis points of total loans. On the subject of shareholders equity, it increased 41.6% or $328 million from year end to mostly reissuance of the stock related to the acquisition as well as growth and retained earnings. The Tier 1 leverage ratio was 9.39% at quarter end versus 9.88% at year end. Tier 1 risk based was 13.69% versus 13.76% and total risk based capital was 14.46% versus last year ends 14.81%. The decreases reflect the acquisition, as well as the previously discussed second quarter pay-off of ESBs $36 million in junior subordinated debentures. The new common Tier 1 ratio known as CET1 was a strong 11.93% far surpassing both the initial requirement of 4.5%, as well as the 2019 fully phased in 7% requirement. Despite the acquisitions impact on tangible equity, it was about the same as at year end at 7.87%. Our strong equity ratios permitted declaration of dividend increase of 4.5% to $0.23 per share back in April. In summary, overall performance continues to trend nicely for the first nine months of 2015 given our focus on both the successful integration of ESB and implementation of our organic growth plans in the current continued low interest environment. Organic loan growth on a year-to-date basis continues to be above 5% and our cost savings strategy post ESB around target as evidenced by our lower efficiency ratio of approximately 57% year-to-date compared to our peers above 60%. Our Pittsburg market business plans are moving forward nicely with good loan origination volumes from that market to supplement higher originations in our other core markets. This does now conclude our prepared commentary and we will now open the call for your questions. Todd Clossin will moderate the Q&A session and the facilitator can now coordinate those questions. Thank you.
Operator: [Operator Instructions] The first question comes from Catherine Mealor from KBW. Please go ahead.
Catherine Mealor: Hi good afternoon everyone. Just first on growth. Had a question, maybe thinking forward. I know the commercial real estate pay-offs are going to move the growth rate around quarter to quarter, but you did a lot of hiring this year, and so how should we think about just what you're expecting the core loan growth rate should be, going into next year, outside of any more of these large paydowns?
Todd Clossin: Yes, the third quarter was really pretty extraordinary on both the production side and the pay-off – from the large commercial real estate loans that went to secondary market, pretty unusual. I would tell you, what you’ll see going forward is a continuation of what you've seen over the last couple of years and that is mid single digit but there is a lot of mix going in underneath that. As you guys know, we are trying to build the C&I book, that's why we did some of the hires we did and we’re thankful to see some of the production coming from that. I know at some point in time rates are going to rise. At some point in time some of the commercial real estate construction projects won’t be as economically feasible. That market will slow or will slow because markets stretch a little bit and when that starts to come down, I want to make sure that we could still show really good loan growth through other initiatives whether it be C&I or the consumer home equity loans, those types of things will start to show through. So, we are looking for a more stable loan growth that kind of gets away from the quarter-to-quarter gyrations you see with the construction projects. But net of all of that, I'd expect to see a continued growth in the C&I and home equity portfolio. It’s like you’ve seen from us over the last year low to mid single digit growth in the commercial real estate side netting out to mid single digit.
Catherine Mealor: And how is that mix shift into C&I and HELOC portfolio impacting the yield on your loan book, is that what make shift, the primary driver would you say in the quarter-over-quarter compression into loan yield?
Todd Clossin: Catherine, the loans are primarily decreasing on the commercial side because of re-pricing of existing three and five year loans. In other words the initial term and they are then re-priced of an index to either LIBOR or the Treasury CMT. So given how low rates are today, those rates are re-pricing but those loans are re-pricing very low. We are also finding competition for new quality credits is resulting in lower initial spreads. We do to try to maintain floors on our loans. We've done nicely on the home equity side for the last year and a half with our new products, that does come at a slight cost. We do have some customer, as well as employee incentives for that program and that has resulted in a slight reduction in the home equity line in terms of margin. So, I think that to some degrees goes your question on mix shift because certainly in the third quarter, most of our growth was in the categories of home equity lines and residential mortgages. There also was a noise around the acquisition as we lined up various loan categories from ESB and moved them around on our balance sheet in any particular quarter that might have been some adjustments related to moving those loans from category to category. So, we tend to focus on the bottom line relative to loan yields over the past two quarters particularly, Catherine.
Robert Young: Just to add on that the C&I business tends to come with a lot more fee income - non credit income TMPs or things like that with a real estate business tends to come with more upfront type of fees associated with that. With the yield on the two products, they are not that different within a quarter percentage or so whether you’re doing a construction loan, whether you’re doing a good quality C&I loan. So, overtime I think that yields will be similar and we’re not seeing slow down on the construction side at all. It’s continuing to run very strong and while we are anticipating at some point that will soften as rates go up or as we decided to pull out of maybe some hires for concentration issues. We’re not seeing a slowdown in construction good, high quality construction projects are still plentiful, we’re looking them, we are underwriting them and we’re doing them and that is building lot of powder for the future so to speak as those fund up over the next couple of years. Those are also end markets. We don’t buy out of market loans. So I would make that comment. The other comment on the real estate loans is that we have been putting more of those on the balance sheet over the last couple of years and we will delve that back going forward to more gain on sale activity.
Catherine Mealor: That was very helpful. I will hop out and let someone else up in the queue. Thanks.
Todd Clossin: Thank you.
Operator: The next question comes from Bob Ramsey of FBR. Please go ahead.
Bob Ramsey: Hi good afternoon guys. Bob, I was hoping you could talk a little bit more about the net interest margin trajectory and I think I heard you to say that there's about 10 basis points of benefit from purchase accounting accretion. I just wanted to know if any of that is accelerated accretion, or whether it's core run rate accretion? And from this level of 336, how you are thinking about the margin pressure in the fourth quarter?
Robert Young: Well specifically on the issue of - around the question of add-on purchase accounting accretion, it was a good note that in my script that was 10 basis points in the quarter, 10 basis points year-to-date, it was 11 basis points for instance in this second quarter. That compares to four basis points in the third quarter last year. That will drift away if you will a couple of basis points a quarter between now and the third or fourth quarter of next year as some of the accretion related to CDs and borrowings goes away quicker than the accretion in non-impaired loans in the loan book for instance. So I would dial that back at a couple of basis points a quarter Bob when it comes to purchase accounting. Cost of funds has been relatively flat, the last three to four quarters now. I don’t know whether Todd mentioned it or I did in the press release we talked about extending some borrowings there is an extra basis point of cost in terms of total interest bearing liabilities this quarter and extending some of the shorter term borrowings that we had acquired either from ESB or shortly after ESB as we were refunding the portfolio purchases on the asset side. So, we think that is protective of the margin going forward no matter where or when interest rates go up and in fact our asset sensitivity do through that change this quarter which did cost us a little bit in margin as we point out. That changed our asset sensitivity in up 200 from 2.1% at the end of December to 2.7% at the end of September. So that's a bit of a protective strategy even if we don’t think rates are going to go up until sometime in the second quarter. Bottom line, it seems to me as though by the end of the quarter looking at the monthly run rates during the quarter that we had to plan settled in at mid-330, high 330s kind of number, and I think at this point that's about as much as I would say. In our most likely environment with loan growth and the shifting of assets on the asset side, that should help us as well in terms of future margin.
Bob Ramsey: Okay. So it sounds like we’re relatively stable with maybe a little bit of drag from the rate environment and losing base of 22 at the purchase accounting?
Robert Young: Yes I think the final point - not sure if Todd made this but I would suggest that at least one we are looking at today we don’t expect the same level of payoffs in the commercial side in the fourth quarter. Maybe a little bit more visibility of the current pipeline which continues to be at a very nice - indicative of a nice growth rate. We also - Todd pointed out the construction loan financing. We should see some of those balances ramp up here in the fourth quarter. So we talked about the lumpiness in terms of quarter-over-quarter loan growth rate Catherine mentioned that, that's an add on to what I said about most likely and is asset shift between investments and loans and we do hope to get more visibility on that with more of the current production falling to the bottom line.
Bob Ramsey: Great. And then shifting gears – just a small question but the other expense lines seem to pick up this quarter. Is it just normal quarterly volatility or is there anything unusual on that other line that sort of drove for quarter-to-quarter increase.
Robert Young: Yes, Bob actually we're couple of things and you can decide whether you think of this as core and not core. We had a contract termination expense for a deposit product, the fee contract of couple hundred thousand. We had – I mentioned the customer fraud in my remarks that was about $300,000. We also saw some extra cost just associated with ESB and working there activities and primarily in the post supplies category as we were ramping up marketing campaigns in that market. And so all of those affected the other operating expense category. It wasn’t in our real expenses it was basically those two or three categories.
Bob Ramsey: Okay, great. Thank you for taking the questions.
Operator: The next question comes from William Wallace of Raymond James. Please go ahead.
William Wallace: Hi, how you guys doing? Probably beating a dead horse at this point but I just wanted -
Robert Young: We’re not dead yet Wally.
William Wallace: I'm just trying to figure out the margin, because what you're saying, I'm just struggling to see how we can stabilize on NIM, just given what we're seeing in the loan yield specifically. So maybe, I'm just wondering, the loan yields of the loans that paid off unexpectedly in the quarter, do you know what the yield on those loans are in the quarter on the average yield?
Robert Young: I don’t think the yields on those would be any different than the portfolio of business loans in general which is about 420. They're not paying off because of our rate structure, they're paying off because they’re selling the property or they’re going into the secondary market given today’s low cap rates, taking advantage of the market while they can.
William Wallace: Okay. I guess I'm struggling to see where if loan yields go from 428 in the second quarter to 417 in the third quarter, how they can stabilize that quickly. Is it just purely a function of the lens that you anticipate putting on in the fourth quarter are going to shift the mix within the portfolio, enough to stabilize the yields?
Robert Young: The later factor as I just said to Mr. Ramsey I think does have an influence on us going forward. That is where we expect to get a few basis points of margin compression enough to offset the run down in purchase accounting accretion is from that growth that mid single digit growth which you didn’t see as much off in this third quarter because of the payoffs offsetting the growth and outstanding from new originations. So I can understand your point, you’ll have to make a decision as to whether you - you think that as a reasonable strategy, we think it is. And as Todd has said in the past, there will be lumpiness quarter-to-quarter depending upon what some of those commercial real estate or construction deals that have completed now have been stabilized when they go to the secondary market. I think when rates rise a little bit, you’ll see less of that happening, people who keep hold on to those deals longer and won’t be so quick to go to the secondary market with them.
William Wallace: Okay. That's a good segue to the next part of my question, which is you mentioned and I think when you were answering Catherine's question, that you do have a significant portion of loans that are on floors, and I don't know how much of the portfolio is variable that's not on floors, or that's above the floors. But if the Fed only raises 25 basis points in the second quarter and then maybe another 25 or 50 over the course of the back half of the year, how much will that impact you?
Robert Young: Well I can tell you that in a rate ramp environment of 200 basis points, you are looking at very similar increase to a 100 basis point shock environment. So that's about 2% - 2.2% so that probably a more logical way to look at it. We also twist and shift the curve, we bring that curve up in the low part and then keep it where it is today and the upper parts of that in fact results in compression for some of your intermediate assets. So we look at it in number of different ways. But at the end of the day, you have to look at multiple pieces the balance sheet you just can’t horn in on loans or one category of deposits. What we are saying overall is, net-net we’re asset sensitive. Yes, we do have floor on over 600 million of loans, we’ve disclosed that in prior 10-Qs and those won't go up as much in the first 100 basis points but there are other elements both the asset and liability mix that help to offset that.
William Wallace: Thank you, Bob, and last question maybe just moving over to expenses. You mentioned that you're ahead of schedule on your ESB cost saves, but that you're investing more, not only in just production, but in back office, as it relates to approaching the $10 billion threshold. How should we think about what cost saves are left, and how much of that might be offset by continued investments in the back office, taking production staff out of the equation?
Todd Clossin: We have modeled around 50% or so in terms of salary saves, obviously a lot of those came up front with the merger and the thought was the rest of them would occur overtime through the middle of next summer, most of those occurring through retirements and areas like that their branches are staffed more heaving than ours. So that's we have done in prior mergers and this one as well. So we feel we'd be where we need to be on the expense side by next summer. We’re running ahead of pace with regard to that rate now. What we’re doing on the hiring of additional revenue producing talent is very much in line with the strategy of gong to that market, becoming top 10, we did a lift out we mentioned earlier, lift out at previous call. We lift up of the group of lenders up in the Pittsburgh area that has now turned not to be one of our most productive. There really was not in commercial lending, - tremendous commercial lending function up there. We had one, we added two as a result of the merger so again synergies are additive when you start doing things like that. But on a overall basis across our whole franchise, we have been to do is take resources that we’re in lower productivity areas. People would retire, move-on and replace those individuals in more productive markets like a Cincinnati, Columbus, Pittsburgh, Charleston, some of the bigger cities. We still have good coverage in some of our other legacy markets but we did, we are opportunistic in self funding a number of hires that we did, not all of them but a number of the hires. So this has been the plan for the last year and half. It's been very much designed in terms of the timing and when and we’re going to do all this. So everything is very much on track with what we thought but we have added on both the C&I side and the private banking side as well to prepare us for growth for the rest of this year and into next year which we think will materialize. It's an investment that we have made and we’re clearly going to have execute upon that. But we've covered a lot of those costs through being more I guess reallocating the existing peoples but FTE is for market-to-market so to speak. With that, we have added a couple of individuals in the back room on different areas and risk management that we feel are prudent given the size that we've become in, in the size that we’re growing to. But we’ve been very selective about those and Bob and I get a monthly payroll before I look at very closely with HR Director. So, we're trying to pace it, trying to pace the revenue with the expense. But we said this before and I will say it again, we do not feel we have to stroke any big checks to get to over $10 billion on the expense side because this bank has always invested for the future and we’re in really good shape. We just need to continue to growth our infrastructure as we grow our revenue teams.
William Wallace: Okay. So maybe try in another way, in the current interest rate environment, we’d expect to see the efficiency ratio remain flattish. Is that fair?
Todd Clossin: I would say, I think the range that we’ve been in the last few years will be the range we would expect to be in.
Robert Young: I think the 36% to 38% area where we are is a good target. I gave a couple of questioners some guidance in terms of unusual items for the quarter that wouldn’t be reparative in the fourth quarter. So, that is much as I would say but I think the direction overall of non-interest expense is reflective of most of the cost savings and there will be little quarter-over-quarter bumpiness depending upon this accrual or that particular loss.
William Wallace: Thanks guys. I appreciate your time.
Operator: [Operator Instructions] Your next question comes from John Moran from Macquarie Capital. Please go ahead.
John Moran: Just a quick one on fees. Trust looked like it ran soft again this quarter, and I know 2Q versus 1Q suffers from some tough seasonal comps, but anything going on, on that line this quarter?
Todd Clossin: Just choppiness in the market. Obviously, we had a lot of volatility going on in the marketplace. I look at our net accounts, the new accounts opening versus the trust accounts that close from - obviously people pass in the way and that’s the part of that business. And net-net we’re growing, - we’re growing market share. But we are going to get a lot of volatility in the third quarter obviously impacted that number and I looked at my own portfolio, so I know that’s impacting everybody else to.
John Moran: Got it. So just more general market volatility versus anything shale related or anything, still seeing good opportunities?
Todd Clossin: It is just market value based and this would give us when we target the fees against what the market value of the portfolio is and that will move around from quarter-to-quarter.
John Moran: Okay, all right. And then the other one that I have, just obviously it looks like originations are good, pipeline strong, but any slowdown or sort of ripple that you're seeing run through any portion of the footprint, just given that a lot of it is kind of sitting in Marcellus territory, or color that you might be able to give us, in terms of general economic indicators?
Todd Clossin: We watch it closely. We talked to lot of our customers as we said on prior calls, we don’t lend to the big oil and gas drillers less than 1% of our portfolio. What we're really doing as looking at credit metrics overall for our customer and we’re not seeing any changes in the credit metrics overall. There are a few customers who are watching that are in businesses that related to that and there is some impact but nothing that would be deemed a credit issue, we tend to deal with stronger individuals who are kind of weathering the storm. But we are seeing the impact but not anything that will impact our credit metrics or anything like that. There is still an awful lot of pipeline activity work going on around here. Still a lot of trucks going around. Still hard to get into the restaurants, still hard to get a place to stay for short term housing for people we bring into town. So a lot of the pipeline work is being done while the gas sits in the ground, I think is a lot of what’s going on. The existing wells that have been drilled and didn’t ask this question but I’ll answer anyway, we are still seeing eight figure deposit flows on a monthly basis coming into the bank on a footprint really just from the royalty payments that are being paid through our customer in oil and gas companies. So we are continuing to see really nice flow of deposits into the bank and that hasn’t moved much in the last year, year and half, still holding very, very consistent even with these lower prices as a results of the fact what was being produced is still being produced. If not growing to 20 or 25 million a month like I think it would have, if gas prices had stayed up but its holding pretty steady right now.
John Moran: Got it. Thanks very much for taking the questions.
Operator: [Operator Instructions] This concludes our question-and-answer session. I'd now like to turn the conference back over to Mr. Clossin for any closing remarks.
Todd Clossin: Great, thanks. Thank you, Danielle. I appreciate your time this afternoon. I know you guys are busy, a lot of calls here in the last couple of days, next couple of days but thank you for your time and thank you for your questions.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.